Operator: Good afternoon, ladies and gentlemen, and welcome to the Fortuna Silver Mines Q1 2022 Financial and Operational Results Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Carlos Baca. Sir, the floor is yours.
Carlos Baca: Thank you, Jenny. Good morning, ladies and gentlemen, I would like to welcome you to Fortuna Silver Mines and to our financial and operations results call for the first quarter of 2022. Hosting the call today on behalf of Fortuna will be Jorge Alberto Ganoza, President and Chief Executive Officer; Luis Dario Ganoza, Chief Financial Officer; Cesar Velasco, Chief Operating Officer, Latin America; and Paul Criddle, Chief Operating Officer, West Africa. Today's earnings call presentation is available on the Featured Presentation box on our homepage at fortunasilver.com. As a reminder, statements made during this call are subject to the reader advisories included in yesterday’s news release and in the earnings call presentation. Financial figures contained in the presentation and discussed in today’s call are presented in U.S. dollars, unless otherwise stated. Before I turn over the call to Jorge, I would like to indicate that this earnings call contains forward-looking information that is based on the Company’s current expectations, estimates, and beliefs. This forward-looking information is subject to a number of risks, uncertainties, and other factors. Actual results could differ materially from a conclusion, forecast or projection in the forward-looking information. Certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information. Additional information about the material factors that could cause actual results to differ materially from the conclusion, forecast or projection in the forward-looking information and the material factors or assumptions that were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information, is contained in the Company’s Annual Information Form and MD&A, which are publicly available on SEDAR. The Company assumes no obligation to update such forward-looking information in the future, except as required by law. I would now like to turn the call over to Jorge Alberto Ganoza, Co-Founder of Fortuna.
Jorge Alberto Ganoza: Thank you, Carlos. And good morning to all, thanks for joining us today. Our business performed very well in the first quarter of the year. We realized silver price of $24 per ounce and $1,884 per ounce of gold. We recorded net income of $27 million or $0.09 per share. As per adjustments for unrealized losses on derivative contracts for a portion of our byproduct zinc production and write-down of exploration investments at a prospect in Central Mexico, our adjusted net income came in at a record $33 million or $0.11 per share, beating analyst consensus of $0.10 per share. Our adjusted EBITDA was $80 million with a robust margin over sales of 44%. As of the end of the quarter, the company maintained a strong balance sheet with low debt leverage and liquidity available of $150 million, which is more than adequate to meet all our capital and growth plans. With respect to our key growth project Séguéla, Paul Criddle, our Chief Operating Officer for West Africa will be providing an update for you in a minute. But I can advance, construction is 48% complete as of the end of March. And as of the latest report provided to me, as of the end of April, completion is at 55%. The project remains on time and on budget for a first gold pour in mid-2023. Of note that Séguéla’s well is maiden Inferred Mineral Resource for the Sunbird discovery comprising 3.5 million tonnes averaging 3.2 grams of gold per tonne containing 350,000 ounces of gold. We made a news release of this on March 15th. Sunbird remains open with high grade gold intercepts in multiple directions. We plan to continue drilling Sunbird and other targets at Séguéla for all of this year. The Sunbird discovery is incremental to what is already a mine in the making with gold reserves for a decade of production. Looking at our consolidated production, all ore mines performed well and in line with our annual guidance projections for 6.2 million to 6.9 million ounces of silver, and 244,000 to 280,000 ounces of gold. During the quarter, we produced 67,000 ounces of gold, and 1.7 million ounces of silver. Compared to the first quarter of last year, we show a significant increase of 93% in gold production. The increase is driven by contributions from the Yaramoko Mine and the ramp up completion of our Lindero Mine in the Province of South Argentina. Silver production declined by 13% and this is explained by lower head grades at our San Jose Mine. These lower grades are in line with reserves and mine plan. In the quarter, gold accounted for 71% of sales and silver for 19% of sales. The 10% balance is made of byproduct lead and zinc out of our Caylloma Mine in Peru.  On the side of costs, all our mines performed within the ranges we provided for in our annual guidance. Our costs are quite competitive at all our mines, given the company resilience as we navigate through the precious metals price cycle and short-term price risk.  Lindero produced gold at an all-in sustaining cost of $1,038. And Yaramoko had an all-in sustaining cost of $1,147 per ounce. At our silver mines, Caylloma produced silver at an all-in sustaining cost of $17.80 and the San Jose at $15 per ounce.  With 4 million ounces of gold equivalent in mineral reserves, diversified production from mines located in two of the most important mining regions in the world, competitive costs, short-term growth in the pipeline and a healthy balance sheet, Fortuna is well positioned to continue harvesting high value opportunities within the portfolio, as we advance our business. The company has put in place a non-course issuer bid program for the repurchase of up to 5% of the shares issued and outstanding. We intend to make use of the program this year. In doing so, management will be considering the timing of capital requirements for growth projects, and of course assessing the value of the company. With that, now we can have Cesar provide us a quick glance of our Latam operations, Cesar?
Cesar Velasco: Thank you. And as Jorge mentioned earlier, the company's three operating mines in Latin America delivered a solid first quarter. We had a high COVID absenteeism in January in all operations. But in spite of that, operations managed to deliver according to plan. Costs are well contained within guidance for all operations.  At the Lindero Mine, Argentina, gold production exceeded 30,000 ounces for the second consecutive quarter. Compared to year ago, Lindero delivered 35% higher gold production, which is explained by the increase in performance of the three-stage crushing and stacking circuits, along with a 7% higher head grades for the quarter. We are delivering according to our guidance projection. The San Jose Mine in Mexico delivered a lowered silver and gold production versus comparable quarter. But it is fair to mention that it is in line with the mineral reserve estimates.  And finally, the Caylloma Mine in Peru delivered a 17% higher silver production and 12% higher lead production as we enter a higher grade portion of the research in level 16, the deepest level of the mine. Production of the Caylloma is on track to achieve the upper range of guidance. Back to you, Jorge.
Jorge Alberto Ganoza: Thank you. Paul, do you want to give us update on West African operations?
Paul Criddle: Thank you, Jorge. Operations in our project in West Africa were solid in the first quarter and in line with guidance for the period. The effects of COVID on the guidance have no impact on production at Yaramoko or progress at the Séguéla project. At Yaramoko, production for the quarter was 2% greater than the plan at 28,000 ounces of gold in the mid to upper end of guidance for the period, while costs were contained at below the lower end of the guidance range at 1,147 ounces of dollars per ounce for the period. Greater ore production realized from development on the Western extent of the 55 Zone and good grade reconciliation in the period contributed to the solid production outcome. Moving to Séguéla. Since commencing in Q3 of last year, the Séguéla project continues to progress steadily in Côte d'Ivoire. Today, the overall project completion sits at 48% as of the end of Q1. With nearly $76 million spent through end of the quarter and over $130 million committed, the project is well placed to be de-risked in the challenging environment, in which we are developing the mine today. Progress and costs are in line with the plan and we are forecasting the project to be completed on time and on budget in Q2 of 2023. We feel this is a good outcome today, given the schedule and inflationary pressures we see in the market today. Works on the ground are proceeding well and in line with the schedule, with critical path items being advanced across the property, as well as in the procurement space.  Items of note from Q1 are: the ongoing and steady progress of bulk earthworks in the plant site and TSF areas ahead of the approaching wet season; mobilization of the EPC contractor Lycopodium to site and the commencement of the processing plant; the commencement of the erection of tower steel for the high voltage power line; the execution of the mining services agreement with Mota-Engil; and the ongoing expedited key supply items such as the SAG mill and high speed transformers, which both are on schedule. We're extremely pleased with the reconciliation of progress against their plans at present, and look forward to bringing you further update on SAG mill.
Jorge Alberto Ganoza: Thank you. We'll ask Luis now to give us a run with financial results and also expand on a topical issue, which is inflation. So Luis.
Luis Dario Ganoza: Yes, thank you. So as was mentioned, sales for the quarter were $182.3 million. This is an increase of 55% compared to Q1 of 2021. The higher sales were driven by the contribution of Yaramoko with $55.4 million of sales in the quarter, and sales of Lindero of $54.1 million, which was 48% higher than Q1 2021 and represented an additional $18.1 million to our top line. This was partially offset by lower sales at San Jose of 17% representing an increase of $9.4 million in sales. This  has been mentioned by Jorge and Cesar. It was driven by lower production and was broadly in line with our guidance for 2022. Year-over-year, our key financial metrics reflected the expanded size of our business. Adjusted net income of $33.4 million was up 21% and adjusted EBITDA of $80.3 million was up 32%. Free cash flow from operations of $9.6 million was impacted in the quarter by negative changes in working capital of $27.9 million and timing of taxes paid. The working capital changes are to a large extent related to short-term timing effects, which we expect to revert in the next quarter or two. Our EBITDA margin in the quarter was 44% compared to 52% in Q1 2021. The lower margins were the result of a decrease in margins at the San Jose mine and higher general and administration expenses of $8.3 million. This was comprised of $4 million of higher share-based payments when compared to the first quarter of 2021, for which we recorded a credit of $0.4 million and $4 million higher G&A between the sites and corporate. We did have some nonrecurring expenses in the quarter in the order of $1.5 million. Moving forward, we expect quarterly G&A at corporate between $6 million and $6.5 million excluding share-based payments. An additional item worth noting on the income statement is a $4.2 million loss on derivatives, of which $3.5 million was unrealized. The unrealized portion was comprised of $4.1 million of zinc and lead derivative contracts, offset by $1 million of unrealized gains from diesel hedges. Moving on, we have provided a comment on the news release and our MD&A on inflation effects. So far, we are seeing rising prices for certain key consumables including cyanide, explosives and steel components at our operations and of course fuel. In Q1, the total impact with respect to our cost guidance has been modest. We have seen, however, a trend throughout the quarter and into April for some of these items. We should expect a higher impact in Q2. But based on the more recent data points, we expect all-in sustaining costs at our operations to remain within the range of annual guidance. We are monitoring these trends closely and the outlook could certainly change. In the case of Lindero, in particular, diesel is a significant portion of our cost structure between 16% and 18%. It is worth noting, we have hedged approximately 55% of diesel consumption for 2022 at levels that are 30% below the average prices we saw in March and 50% below spot prices we were seeing in April. On the balance sheet and liquidity requirements, as Jorge pointed out, we closed the quarter with $110 million of cash and cash equivalents and liquidity of $150 million, which includes $40 million that remained undrawn at the end of the quarter under our $200 million revolving credit facility.  Our total net debt including the outstanding convertible debenture of $46 million is $96 million, which provides for very modest debt leverage. On the Séguéla construction, we have funded $35 million in the quarter and close to $70 million on a cumulative basis. Our expected spend for 2022 remains approximately $110 million.  Back to you, Jorge.
Jorge Alberto Ganoza: Thank you. Carlos?
Carlos Baca: We’d now like to turn the call over to any questions that you may have.
Operator:  Your first question is coming from Trevor Turnbull. 
Trevor Turnbull : In my model, it would appear that your operating cash flow is set up to offset the capital expenditures you've got planned for the rest of the year. And so, my question was about the drawdown of the line of credit in Q1 and then subsequent to quarter end, a bit more. I was just wondering if this is insurance against the potential inflation or operating risk. Or perhaps was this somehow related to having extra cash on hand for the share buyback program?
Jorge Alberto Ganoza: No, it really has to do with more of timing of our treasury, Trevor, and we I mean phased the alternative of drawing down on the facility or repatriating from the site, the bulk of the cash sits in the sites. And we will always be assessing the use of our facility as opposed to moving cash which creates friction, right, can in most cases trigger tax events. So that's really the logic behind the drawdown you have seen. 
Trevor Turnbull: Right. I guess I didn't have that visibility into exactly when the CapEx is going to get spent and forgetting that you do have to move money around. When you talk about repatriation, is that kind of specifically with respect to Lindero that you talk about the most having the effect friction?
Jorge Alberto Ganoza: It would be beyond Lindero, right? Lindero is -- this repatriation is built into intercompany funding plan. So, the drawdown of Q1 is above and beyond Lindero funding that's already taking place.
Trevor Turnbull: Okay. And then, I guess also just sort of related to funding while I've got you, Luis. Do you have a minimum cash balance target while you are under construction that you are thinking about?
Luis Dario Ganoza: I would say $100 million is a figure with which we feel comfortable.
Trevor Turnbull: Okay. And then my last question, still kind of on this theme. Have you thought about any forward gold sales? I've seen some of your peers do very short-term one-year, 18 month forward sales, and they have had pretty good luck I think with the timing of that. Is that something that Fortuna has considered?
Jorge Alberto Ganoza: Honestly, we have not. We typically -- I mean, as you know, we will not engage in forward sales of either silver and gold and up to now that hasn't changed, Trevor.
Operator: Your next question is coming from Don DeMarco of National Bank Financial. 
Don DeMarco: Thank you, operator, and good morning, gentlemen. My first question has to do with the spend at Séguéla. I think that we -- in our model per previous messaging, we are looking at about $110 million to be spent in 2022. We have just allocated this equally between quarters. But I see that in Q1, you are a little bit ahead of say a 25% per quarter spend rate. Can you just give us an update, are you still expecting to spend about $110 million in 2022 and how should we allocate that across quarters?
Jorge Alberto Ganoza: Yes. The expectation on the total amount hasn't changed. I mean, the quarterly spend can be a bit volatile sometimes depending on different factors. And we expect it to be -- the balance to be spent relatively even over next three quarters. But again, that can vary a bit, not necessarily due to variations in execution, but rather just management of payables and certain advances like to contractors.
Don DeMarco: Okay. Okay. Thanks for that. And my next question has to do with Yaramoko. And Paul, congratulations on a strong improvement in cost quarter-over-quarter from Q4. AISC improved quite a bit into Q1. But I'm reading in the MD&A that the -- you are expecting Yaramoko to be on-track for the high end of the cost guidance, yet Q1 was below the lower end of the cost guidance. So can you just maybe add a little bit more color on, what drove those low costs in Q1? Maybe was there some fuel subsidies in country or something? And then what our expectations should be in order for the cost to sort of climb to be within guidance or at the high end of the guidance range for the rest of the year? 
Paul Criddle: Thanks, Tom. I think Q4 was anomalous. I think we had a tough quarter there from a production perspective, and that obviously reflected in the cost. The nature of the hard grade that drove the project in Q1 is a good start to be in, right? And there is a component in the cost specifically, whereby there has been some sustaining capital deferred, and then in small amounts removed, as well that have helped things there. But I think projecting forward for the whole year the costs remain in the guideline for guidance. We hope to continue on the path that we've had for Q1, but I think it's -- probably this is a fair way to go in yet. 
Operator: Your next question is coming from  who is a Private Investor.
Unidentified Analyst : Yes, I'm curious about how your SART plant is doing at Lindero? And specifically, on the financial side, you count copper in your financials as a byproduct. And then secondly, how much cyanide is being recovered through the SART plant? And is that lowering your cost there at Lindero?
Jorge Alberto Ganoza: Yes, thank you. Salta plant is operating as planned. We have been able to recover cyanide significantly, making up or introducing some savings. And we expect to capture some of those benefits along the year which will offset at some point some pressure -- inflation pressure on prices for cyanide.
Unidentified Analyst : And then the second question I have is, your heap leach is running at 400 cubic meters per hour right now, when do you plan to go to 600 and do you feel that a 600 cubic meter per hour flow rate would increase your recovery?
Jorge Alberto Ganoza: Yes, we're running the system at 400 cubic meters per hour. And yes, we see the opportunity to increase a drawdown of inventory in the pile by increasing flow. Remember that we're just in the second lift right now. And we are continuing expanding the liner on the first phase. So we'll likely be operating at 400 for the remaining of the year. And the inventories are not an issue at this stage. Now in the design, the expansion was a benefit that we saw in the transition from year two to year three, which would be something in 2023, right? 
Operator:  Next question is coming from , who is a Private Investor.
Unidentified Analyst: Any follow-up on the permitting concerns at San Jose. And I'm also, secondly, curious why we haven't seen more drill results from the Séguéla? It's something I've always looked forward to. Anyway, any comments are welcome. 
Jorge Alberto Ganoza: With the permit at San Jose, the mine is operating under the permits granted in the month of December. So -- and we have nothing new to report on that front. So we have our permit in hand and operating regularly under the permit. With respect to Séguéla drilling, we are incrementing drill rigs. Together, we're bringing an additional drill rig. And the program is being expanded. Now we’re allocating additional funding to continue pursuing the open areas that we still have in Sunbird and other targets. We're looking to provide an exploration as the need to -- in the second half of this month. So look forward to that.
Operator: There are no more questions in the queue. And I'm going to hand back over to Carlos for his closing remarks.
Carlos Baca: Thank you, Jenny. If there are no further questions, we would like to thank everyone for listening to today's earnings call. We look forward you to joining us next quarter. Have a good day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.